Operator: Ladies and gentlemen, thank you for standing by, and welcome to Aptar's 2021 Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Introducing today's conference call is Mr. Matt DellaMaria, Senior Vice President, Investor Relations and Communications. Please go ahead sir. 
Matt DellaMaria: Thank you. Hello everyone. Thanks for being with us today. Joining me on today's call are Stephan Tanda, President and CEO; and Bob Kuhn, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted on our website. If you are following along on the website, you can advance the slides by hovering over the presentation screen and clicking on the arrows on the right and the left. As always, we will post a replay of this call on the website. Today's call includes some forward-looking statements. Please refer to our SEC filings to review factors that could cause actual results to differ materially from what we are discussing today. I would now like to turn the conference call over to Stephan.
Stephan Tanda: Thanks Matt, and good morning everyone. I hope that you are doing well. As you saw in our press release from yesterday, we announced strong top line growth in the quarter with reported sales up 16% and core sales up 10%, with EBITDA improvement over the prior year. I would like to discuss a few highlights as mentioned on slide 3. In summary, sales increased in each of our reporting segments with currency-related tailwinds adding to the core growth. The wide breadth of our portfolio of solutions and services continues to be a key strength of Aptar, as we generated growth in each segment and double-digit growth overall for the company. Bob will speak in more detail on sales by market when he gives his update. Similar to the first quarter, growth of our Pharma segment was driven by strong demand for elastomeric components for injectable drugs and active material solutions, which offset declines in sales to the prescription and consumer health care markets, which continue to be impacted by customers, drawing down inventory levels in key categories. Our Beauty + Home segment reported solid growth in the beauty and home care markets the former being mostly on easier comparison to the depressed second quarter of 2020, although with some initial signs of recovery. Sales to the personal care market were slightly below the prior year's strong performance, as hand sanitizer demand is normalizing, approximately 75% of the growth came from increased volumes. In our Food + Beverage segment, top line growth was strong across each market segment with about 60% of the growth coming from price adjustments related to the passing through of higher resin costs. It continues to be a very challenging input cost environment and we are in the process of passing through higher input costs to our customers. I would like to remind you that the passing through of increased input cost has the effect of compressing margin percentages. Our overall margin was also affected by the mix of sales within our Pharma segment favoring some of our lower-margin businesses in Pharma. We also remain active on the M&A front, making several strategic investments. During the quarter, we announced that we were in the process to acquire the outstanding shares of Voluntis, a pioneer in digital therapeutics. This is a significant step in building our foundation in the fast-growing digital health care space. If we have learned anything from the pandemic, it is that advancements in health care are rapidly accelerating, and things like remote patient engagement and patient monitoring, whether for clinical trials or real-world treatment will be a big part of each of our futures. Just this week, we announced another pharma transaction. We have entered into an agreement to acquire 80% of Weihai Hengyu Medical Products, a leading manufacturer of elastomeric components for injection devices in China. This investment gives us immediate local and regional supply capabilities in the critical and growing injectable space. Also, subsequent to the quarter, we announced the collaboration with a Chinese skin care company called YAT to bring new skin care solutions to the market. We look forward to leveraging YAT's expansive, market insight database, focused on specific consumer skin care needs and skin care profiles, and we will use YAT's in-depth experience and customized turnkey solutions, as well as online product distribution and promotion. On the sustainability front, we have been active in forming strategic partnerships to further our progress towards a more circular economy where plastic can be recycled and reused. To that end, we have formed a partnership and are serving as a strategic advisor to a company called REBO to offer a reusable water bottle that uses technology to help people stay hydrated, while helping to collect tossed away plastic bottles. Now on slide 4, I would like to speak to a few environment, social and governance, or ESG updates. As previously announced, 3BL Media evaluated the 1,000 largest public US companies on ESG performance and Aptar is honored to be named among the top 50 companies, who are leading in corporate citizenship. We also announced the launch of our 2020 Sustainability Report, which highlights again our extensive sustainability initiatives that have been implemented across our global operations and we invite you to read the report on our website. Our first comprehensive sustainability report was for the year 2014. So our experience and engagement is built on deep expertise and a long track record. Finally, we are delighted to welcome Candace Matthews to our Board of Directors. Candace is a highly accomplished business leader with over 30 years of experience developing and marketing products for the health care, cosmetics, food and beverage industries. And she has held leadership positions with Amway, L'Oreal, Coca-Cola and Procter & Gamble amongst others. Our directors provide valuable guidance and keen oversight based on their first-hand operating experience in the end markets and geographic regions in which we operate, as well as functional expertise and multi-cultural insights. Candace is a valuable addition to Aptar's Board with deep contemporary knowledge of our markets, including having spent a significant time in China. Turning now to slide 5. In new product and technology launches, I would like to briefly comment on several product introductions that will highlight the breadth of our offerings. In Pharma, our elastomer stoppers used with injection systems continue to play an important role in the COVID-19 vaccine distributions worldwide, including a vaccine approved in Latin America. We're also supplying stoppers for several animal vaccines in Mexico. In the prescription drug market, the central nervous system pipeline is active and we have several customers making progress with nasal delivery of a variety of medicines in the area of opioid overdose antidote, epinephrine medicines to treat suicidal tendencies.
-- : We also supplied our prestige fragrance pump for a new Tom Ford fragrance and our dispensing closure for Dollar Shave Club's New shampoo and conditioner line, most recently launched in the US. Also in the US, our airless pump is the dispensing solution for Coty's Cover Girl and Olay brand color cosmetics product called Eye Rehab. Finally, in the home care market, our closure with SimpliSqueeze valve is featured on the NUK dish care product in Europe. In Food & Beverage, we received critical guidance recognition from the Association of Plastic Recyclers for our SimpliCycle recyclable valve technology. This recognition acknowledges technologies or packaging components that solve long-standing problems in sustainable packaging design. Or SimpliCycle valve is made from a low-density materials that allows the valve to float so it is easily separated from the polyester stream and then ultimately recycled twisted polypropylene or polyethylene olefin stream. In the food market, our custom closures are featured on a limited additional line of mash-up sauces, including hot sales coupled with ranch and tartar sauce combined with ketchup by KraftHeinz in Canada. Nestle has also launched a new range of condiments with flavors from the Middle East called Mezeast, which feature our food closures. Turning to the beverage market. Our closure with SimpliSqueeze valve is the dispensing solution for a new concentrate product in Germany called Creme de la Cream Concentrates by ALDI. With that, I will now turn it over to Bob, who will provide additional comments on our second quarter results. Bob?
Bob Kuhn: Thank you, Stephan, and good morning, everyone. Starting with slide 6. As Stephan mentioned, we had a strong top line performance in the quarter, and I will walk through some of the market growth in a few minutes. Turning to slide 7. Second quarter adjusted earnings per share increased 7% to $0.91 per share on a comparable basis with the prior year and when neutralizing currency effects. Aptar's adjusted EBITDA increased 8% to $148 million compared to the prior year, and this included the negative impact of the shift in business across our markets as well as a net negative inflation impact of approximately $9 million. Our consolidated adjusted EBITDA margin would have been approximately 180 basis points higher without the net negative inflation effect and the margin compression impact from passing on the higher costs. Slide 8 and 9 cover our year-to-date performance and show the 5% core sales growth and our adjusted earnings per share which were $2.01, up 10% compared to the $1.83 a year ago, including comparable exchange rates. Briefly summarizing our segment results, our Pharma business performance was mixed across the different divisions with total segment core sales growth of 2%. Pharma had an adjusted EBITDA margin of approximately 33%, which was reflective of the mix of business across the different markets compared to the previous year. Additionally, Pharma's margin was negatively impacted by approximately 100 basis points due to net negative inflation costs in the quarter of approximately $2 million. Looking at sales growth by market compared to the prior year. Core sales to the prescription market decreased 7%, and core sales to the consumer healthcare market decreased 1% as certain pharma customers in these markets continue to draw down inventory levels as treatment for allergic rhinitis and cough and cold are impacted by low levels of patient consumption and fewer overall non-critical doctor appointments. It was another strong quarter for components used for injectable medicines and our active material solutions. Core sales to the injectables market increased 14%, and half of the growth was related to vaccine administration of which the majority was for COVID-19 vaccines. Core sales of our active material science solutions increased 20%, primarily due to increased sales of our protective packaging solutions for probiotic products and COVID-19 diagnostic test solutions. Turning to our Beauty & Home segment. Core sales increased 13% over the prior year second quarter, which is the most difficult period during the COVID-19 pandemic. Approximately 75% of the growth came from increased volumes. This segment's adjusted EBITDA margin was 11% in the quarter and was negatively impacted by the timing of passing through increased resin and other raw material costs as well as other inflationary costs, which had negatively affected adjusted EBITDA by roughly $5 million. Had we not had this net negative inflation impact and we did not have the margin compression effect of passing through the higher costs, EBITDA margins would have been approximately 180 basis points higher. Looking at sales growth by market on a core basis. Core sales to the beauty market increased 28% due to higher consumer demand for fragrances and facial skin care products. Core sales to the personal care market decreased 1%, as higher sales to the hair care and sun care markets were offset by declines in personal cleansing as hand sanitizer demand normalizes. Core sales to the home care market increased 26% on strong demand for a variety of applications and increased custom tooling sales. Turning to our Food & Beverage segment, which had another solid performance, core sales increased 23%. Approximately 60% of the core sales increase is due to passing through higher resin and other input costs. The segment had an adjusted EBITDA margin of 16% and was negatively impacted by net inflationary cost increases of approximately $2 million. Had we not had this net negative inflation impact and we did not have the margin compression effect of passing through higher costs, EBITDA margins would have been approximately 360 basis points higher. Looking at each market, core sales to the food market increased 21% as volume rose on increased demand for specialty food dispensing closures as consumers continue to cook at home. Core sales to the beverage market increased 26% as we realized some recovery over a very low prior year second quarter. Moving now to slide 10, which summarizes our outlook for the third quarter. I'd like to take a minute to remind everyone that in the prior year third quarter, we had a significant amount of cost and tooling sales that caused an atypical jump in our sales last year in our Active Material Solutions Group, where we were up over 50% in year-over-year top line growth. As Stephan mentioned, while we expect the second half to continue to show signs of recovery our expectation is now for a stronger recovery toward the end of the year. There's still a lot of uncertainty regarding the pace of economic recovery and many of our customers remain cautious. We don't yet see a significant change in the prescription drug market in the third quarter, but are anticipating an improvement in the fourth. We expect our third quarter adjusted earnings per share, excluding any restructuring expenses acquisition costs and changes in the fair value of equity investments to be in the range of $0.90 to $0.98 per share. The estimated tax rate range for the third quarter is 28% to 30%. While we don't give guidance beyond the coming quarter EPS range, we have mentioned our optimism around the fourth quarter and that would imply that our fourth quarter adjusted EPS range should be above the third quarter nearer to the current published consensus of equity research analysts. In closing, we continue to have a strong balance sheet with a leverage ratio of approximately 1.5. On a gross basis, debt to capital was approximately 36%, while on a net basis it was approximately 29%. In addition, we continue to invest in innovative growth projects and we are confirming our forecasted range of capital expenditures for the year at a range of $300 million to $330 million. At this time, Stephan will provide a few closing comments before we move to Q&A.
Stephan Tanda: Thank you, Bob. In closing, on slide 11, I'm very proud of our people and the work we have accomplished through the first half of the year, amidst these unprecedented times. As certain economies begin to reopen, we expect the recovery in our beauty beverage and prescription pharma business to gradually progress. However, this recovery is likely to occur at a measured pace, given the uncertainties around the COVID-19 variants, and very limited intercontinental and inter-Asian travel. We anticipate a stronger performance towards the end of the year. As Bob pointed out, our fourth quarter should be stronger than our third despite the fact that certain inflationary costs will remain a headwind, especially labor and likely transportation. To mitigate those effects, we aim to implement further price adjustments where necessary to pass on these costs. As we look out further, vaccine distributions will eventually be more widespread and successful, and life will eventually return to more normal experiences with more robust social activities and international travel. Our business is built for the long haul. As I mentioned earlier, because of our breadth across attractive markets we are able to generate growth even when conditions are not always ordinary in each market. We will continue to focus on sustainable growth and returns across all areas of our business and anticipate that our consolidated margins will improve as we transition to a more balanced and steady growth pattern. The long-term outlook for our company has not changed and remains quite promising. We are making strategic investments today that will further strengthen our competitive position, including expanding capacity in key high-growth regions and markets. With that, I would like to open the call up for your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of George Staphos from Bank of America Securities.
George Staphos: Hi, everyone. Good morning. Hope you’re doing well. Thanks for the details. I just wanted to start maybe with one line item that we didn't – I don't think talked too much about in the opening remarks which was corporate expense. It was up a little bit more than we would have expected. What was driving that? Was that related to some of the strategic moves you've been working on Stephan or Bob? And if not what was driving that? And what should we expect going forward? And I had a couple of follow-ons on Pharma. 
Stephan Tanda: Go ahead, Bob.
Bob Kuhn: Yeah, I can take that one George, and Stephan. So yeah, George about half of the increase is from some of our strategic activities and some projects that are expected to continue in the near term. And the other half is really more I would say variable. And the increase in – versus the first quarter was really an increase in accounting for some short-term compensation accruals as we look to the outlook and where we think the end of the year is going to finish. Looking forward, I don't think the run rate is it should be at the $16 million that we saw this quarter. It would be probably closer somewhere between the $14 million and $15 million range.
George Staphos: Okay. Understood. On Pharma, you mentioned that Rx was down about 7% in the quarter and you've talked about destocking for a while, so we understand. But it was notable to us just because I think last year prescription was down about 6%. So a weak number off of what I recall, if I'm remembering the numbers correctly kind of an easy comparison. Was there anything else going on that we should be mindful of relative to your standing in Pharma relative to longer-term outlook? Why, why not?
Stephan Tanda: No, not really. Obviously, we have gone back with the fine-tooth comb even the last seven years and looked at all the different movements and scanning data that is available to us. Hindsight is over 2020, clearly, we – there was already more inventory in the chain than usual by a bit before we hit COVID. And during 2020, orders were slightly reduced but not in line with reduced consumer consumption. So that actually exacerbated inventory build still in 2020 despite the lower sales that you referred to. And then finally, in January, everybody hit the emergency brake seeing that we had a year of very low consumer consumption and that inventory in the chain. So clearly, the inventory destocking is more extensive than we would have liked. But what we see from customer conversations is that that should run its course during the third quarter. Certainly, have more indications about Q4 recovering than we had about Q3 a month -- a quarter ago that we were rolling off that historically these adjustments were two quarters. But as I said, we've done a lot more research. There's nothing around share or other shifts that you might be concerned about. This will recover. Clearly, the allergic rhinitis category is a low single-digit growth category. The one variable that we will always look at is conversion at what base is the conversion continuing or not from oral solid dose to nasal spray. As we mentioned last time, Glenmark the new combination nasal spray approved. So these will continue to come. And that's always one variable. And beyond allergic rhinitis which really drives most of this destocking in Rx, of course we are very excited about the central nervous system category. That continues to grow very well but off a much smaller base of course. In consumer health care where most of the flu treatments are destocking is still going on but it's less pronounced. And of course, flu season is I think much more visible now. Even summer flu is going around. So those two give us some confidence for quarter four returning to a more normal pattern. 
George Staphos: Stephan thanks for that run down. Last one for me. When we look at deals like Weihai Hengyu and Voluntis and the company obviously has said not just today, but in the past that you are built for longer haul nonetheless these are not large deals, but they are going to divert some of your attention and capital. They don't add to earnings. In fact they're dilutive through '22. Can you quantify what the benefit of having these two businesses will be to Aptar say '23, '24, '25? How will your shareholders see this in your return in your earnings in your growth? Tell us why these are good businesses? 
Stephan Tanda: Sure. So let me give you a qualitative view and then Bob please answer on the quantitative side. So let me start with Weihai and Hengyu. I mean we've talked about the regionalization of pharma supply chains before. Governments have woken up to the fact that especially in the category as critical as vaccine, they're dependent on substantial cross-regional flows. So it is critical for us to have supply capability in the U.S. which we built around Congers. In Europe of course we've had historically. And in China. Hengyu is very well set up in China has all the regulatory approvals. It's not that big a business, but if we had to build it and get approvals, you'll five years later with substantially more money. So, I think this is a very important strategic acquisition that will pay dividends very soon in the very large and constantly growing Chinese market. When it comes to Voluntis this is clearly more of a building of capability in digital therapies. We can't say too much, but Voluntis is still a publicly traded company. So there are research reports available on it. But clearly they are one of the very few who have gotten FDA approvals on digital therapies. What is that? That's basically a combination approval with a drug and the digital companion to manage a disease whether it's oncology or others. And we see that as the future. And we've made of course digital investments before and built the group. Clearly that is the future investment and pharma time lines are an average project is maybe seven years. And digital is probably while growing fast it is no faster than other projects. But we see that critical to supplement our device business and enable our device business with digital companions. And I think that built an even deeper moat around it. Plus, as patients we know the engagement with our health care providers is more and more digital. And these digital companions will just become a way of managing both chronic diseases, but also acute diseases. So overall we see that very important growth driver in the future. Maybe I'll turn it over to Bob with some numbers. 
Bob Kuhn: Yes. I mean in terms of the actual numbers looking further out I mean as you mentioned that it's slightly dilutive in 2022. Most of that is again coming from the purchase accounting adjustments that we see on most of the transactions. I think Stephan touched on really the strategic aspects of this. And certainly, I think the injectables growth we're going to see the injectables division inside the Pharma segment becoming much larger in the future as this -- as we've seen the growth over the last 18 months here in this segment and certainly based on what we're projecting going forward with our own capacity expansions in the U.S. and now the addition of Hengyu. So, it really gives us some nice injectable manufacturing capabilities in different regions.
George Staphos: Okay. Thanks very much. I will turn it over.
Operator: Your next question comes from John Kreger from William Blair. 
John Kreger: Hey thanks guys. Maybe just a couple of follow-up questions on the elastomer business. I think I heard you say that vaccine work in the second quarter gave you about half the growth that you saw in elastomers. Can you just talk about what sort of visibility you have on that sort of contribution longer term? What sort of COVID vaccine of an order book do you have out through next year? 
Stephan Tanda: Yes. We don't really guide into that much detail, but our order portfolio and our project portfolio is very broad both COVID vaccines, as well as the traditional flu vaccine in different formats in different geographies. Plus, as we discussed before as a result of the pandemic and the vetting of suppliers, we also see much more activity around biologics treatment in general. So overall we feel confident of continued good growth in that business and that's why we're accelerating the capital expenditure that Bob already referred to and that is well underway. 
John Kreger: Great. Thanks. And then the Hengyu purchase does that give you any new sort of product capabilities, or is that really just about again a localized supply chain with elastomers? 
Stephan Tanda: I think that's the most important part but that's maybe sounds a bit too trivial. Getting regulatory approval for a new manufacturing in pharma in China is maybe half a decade process. So, for us it really accelerates our presence in that market from local supply as opposed to importing from Europe by saving many, many years. And of course, they have some technologies that are more adjusted to local demand. But of course, we can also transfer in some technologies. A lot of that has long time lines with customer approvals. But boots on the ground in a large market that's rapidly growing with full regulatory approvals is very important.
John Kreger: Great, thanks. And then, Bob a quick follow-up. You gave us lots of detail on the inflationary pressures in the second quarter. Can you talk about what sort of assumptions you're making in for the second half?
Bob Kuhn: Sure. So, I mentioned it was roughly a net negative $9 million in the first quarter. Based on the pass-throughs, we've already implemented and where we see the inflationary cost landing in Q3, we expect to be better than we were in Q1, but certainly will still be a net negative in the quarter. Right now, I mean again, it's tough to truly estimate where it lands, particularly in the raw materials side, which is the biggest component of it. But if I had to guess right now, I would say, we'd probably be somewhere in the $7 million to $7.5 million negative in Q3.
John Kreger: Great, thank you.
Stephan Tanda: Thanks, John.
Operator: [Operator Instructions] Your next question comes from the line of Mark Wilde from BMO Capital Markets.
Mark Wilde: Good morning, Stephan. Good morning, Bob.
Stephan Tanda: Hi, Mark.
Mark Wilde: You previously talked about kind of a second half pickup. It seems like it's become more of a fourth quarter pickup. Some of that as Bob mentioned is inflation, but I wondered if you could just put a little more color around the other factors that are in play for you.
Stephan Tanda: Sure. I mean the biggest factor clearly is that the pharma destocking being extended basically by a quarter. I was speaking earlier to the increased granular understanding we have of that. And therefore, the call we are making on the fourth quarter. When you look to the other segments, Beauty and Home is starting to recover. We have good customer conversations and start to see order pattern that is quite encouraging. Unfortunately, we also see some supply chain dislocations as we all start to realize, you just don't start -- restart the economy by pushing a button. Just one example, as government support for some of the smaller companies in Europe, dries up some of our suppliers go bankrupt and we have to go to other suppliers, which puts strains on supply chains expands lead times. But the demand is clearly there and visible. And customers are excited about the Christmas season and all the different events in China 11/11 and so on. Now, the uncertainty that we all have is the variants and what it will or will not do to the opening up of international travel. Clearly, we are behind to where I personally thought we were a quarter ago in terms of international travel. Americans can travel to Europe, but the Europeans cannot travel to the US. And that you would think that's the basics let alone Asians travel outside of the region or even within the region. And clearly, the Chinese consumer is going to be bottled up in China for at least another year. That means a lot of that spending is being redirected to domestic spending. And while we do as much as we can to grow our footprint in China our share of the consumer basket for the domestic purchase Hainan Island, for example, where Chinese travelers go now, is lower than our share of a basket that they spend downtown London and New York or Paris. So, the pace of reopening of international travel is a big uncertainty for us. That's why we are optimistic, but with some caution on the pace of opening up of intercontinental travel and especially where the Chinese consumer spends their discretionary spending. And that would kind of temper my comments. Food and Beverage, we continue to see obviously good growth as people continue to cook at home. Beverage, which is more of a domestic purchase, of course, there's some travel aspect on-the-go beverage but we see a decent recovery. And that gives recoveries further along, I would say, than the beauty recovery. But clearly, we are making progress and we expect sequential progress, but we're not back at 2019 level yet.
Mark Wilde: Okay. Just for my follow-on just real quickly. You've done so many kind of small acquisitions and joint ventures. I just wondered if you can talk generally about how you're kind of managing and tracking performance on all of those investments.
Stephan Tanda: Yes, there are really three aspects to that. I mean first, just stepping back as a reminder we really look at acquisitions as a complement to our ability to grow organically with bolt-on acquisitions like Hengyu, and as a complement to our innovation activities with venturing investments, which YAT for example. Now we only do venturing investments, if there is a strong business rationale with the business leaders wanting to spend time on that, wanting to sit on the Board, engaging in a licensing agreement or some other hook that make sure that there's an ongoing good relationship. So, in almost all of these -- in fact in all of them, we have one of our business leaders or innovation leaders spend time with that company make sure that developments progress, so we have future value to be derived. So that's kind of the business following side of it. Then, of course, Bob's group is very diligent in making sure their books are correct and we properly account for them. And then thirdly, as an executive committee, we follow a venturing review of these assets to make sure that overall the portfolio continues to make sense. And if a sale makes sense, we will also do that. And you've seen Propeller the sale of that. You've seen the evolution of the PureCycle investment. So, by far -- so far batting average has been certainly pretty good. And we derive a lot of innovation pipeline filling and future value from those investments. But, it certainly is a muscle that we had to build in terms of making sure we're following these and we get good value from them.
Mark Wilde: Excellent, that’s what I was looking for. I’ll turn it over. Thanks, Stephan.
Operator: Your next question comes from Ghansham Panjabi from Baird.
Ghansham Panjabi: Thanks. Good morning. I guess on Beauty and Home, can you just give us a sense as to how 2Q volumes compared to the pre-COVID level baseline, and also the same for the major subcategories, so we can get a better chance as to where we are in the recovery for that segment.
Bob Kuhn: All right. I can take that one Ghansham. So if we look at Q2 and we look at the segment as a whole so Beauty + Home we're about 95% of the 2019 levels for the segment. And if I look at it on a year-to-date basis, we're probably closer to 90% for the year. Now if I break it down into where we are from – specifically from a beauty category, we're about 85% for Q2 where we were pre-pandemic in Q2 2019. And then if I were to look year-to-date 2019 versus year-to-date 2021 for beauty, we're about 80% of the way there. So we're getting closer on the beauty side.
Ghansham Panjabi: Got it. And then in terms of incremental margins on an as-reported basis it looks like it's about 21% for that segment. And if I adjust for the I think you've called out $5 million of price cost impact in Beauty + Home it's closer to $30 million. Is that the right baseline to think about going forward in context of all the productivity initiatives you've had for that segment?
Bob Kuhn: It's really hard for me to generalize. In the Beauty + Home segment, we've got so many different product lines and so many different SKUs and across multiple regions. On an average basis, probably not too far from that. But it's really hard for me to – it's going to truly depend on what categories are growing. And remember, if you don't have – if you've got one particular area that is down impacting a particular factory that has a significant downward pull or headwind on the overall average. So it's hard to really say that that's going to hold true for every category.
Ghansham Panjabi: Got it. And then maybe just one final one for Stephan on Pharma. I think you're sharing some optimism in terms of the destock, kind of cycling through 3Q. But can you just give us some other – what is that based on? I think you mentioned conversations with customers but is there anything more concrete that you can share in terms of inventory to sales or some version of that that gives you confidence that 4Q will see that improvement that you sort of implied?
Stephan Tanda: Yes. Look, I refer to the forward-looking statement language but within that context, as I said, we look at scanning data. We look at proprietary database, data subscription data that we have for the US and Europe. As you know, these data do not cover club stores nor online, which gives them some caveats. And we went back with a fine-tooth comb and kind of okay what are those inventory levels? Where are they? What probably is in homes in CMO locations in finished form. We know there's a two-year shelf life on finished forms and triangulate backwards where we were at the beginning of the pandemic and what the evolution of consumer demand is given that at least in the US and Europe people are out and about allergies in full bloom. And then correlate that with customer conversations, order forecast, which they are giving us. And I would say, it's a more informed call than we had three months ago, but it's not a perfect call by any stretch. The one thing we know if everybody goes outside and puts on masks while outside, the incidence will be less. But that's – I think the likelihood of that in the U.S. and Europe is not high. I think that's probably as much as I can give you. 
Ghansham Panjabi: Okay. Thank you so much.
Operator: Your next question comes from Kyle White from Deutsche Bank.
Kyle White: Hey, good morning. Thanks for taking my questions. I wanted to go back to Mark's question regarding kind of the acceleration that you expect towards the end of the year. And I know you're not guiding towards 4Q earnings, but you kind of pointed to what it could be. And I'm just curious what the outlook for some of your costs like resin are embedded in that kind of outlook that you provided. Do you have any benefits from resin volume there? 
Bob Kuhn: Yes. I don't know if we've actually embedded any positive. Certainly, I think we're seeing some signs of abatement on the raw material side. So there is a certain amount of expectations that we're going to be catching up on some of the delays. But again hate to be very concrete on that. I mean we are just now getting into hurricane season. As we know anything can happen. But certainly there is an expectation that we're getting closer to catching up on some of the raw pass-throughs.
Kyle White: Understood. And then on beauty, you talked about the travel restrictions how it's impacting some of your Asian customers. But I'm curious if you're seeing anything from your customers in terms of potential product launches being delayed or paused just given the variants and some of the travel restrictions that you mentioned?
Stephan Tanda: No. Specifically to that question, we don't see that. Customers remain confident probably excited, bullish about the Christmas season. We haven't seen product launches. Frankly right now it's – a lot of our challenge is to make sure that our lead times meet with the customers' needs towards the end of the year, given supply chain dislocations. And certainly we see the demand strengthening. Having said that of course, consumer confidence plays a big role in what people actually spend. So I'm probably less concerned about the demand being there. Probably more concerned about if there's something coming with COVID and the sell-through doesn't happen what does it mean for next year. But your guess on that is as good as anybody's.
Kyle White: Got it. Appreciate the details and good luck on the rest of the year 
Stephan Tanda: Thank you.
Operator: Your next question comes from Adam Josephson from KeyBanc.
Adam Josephson: Nice. Good morning, everyone. I hope you’re well? Bob just one question on – I think Kyle asked you about this as well but the kind of implied 4Q guidance. You said – you prefaced your comments with we don't normally talk about quarters beyond the current quarter but nonetheless, say that, we expect to be close to the analyst consensus, which I believe is $1.05. I guess what prompted that comment? I mean what prompted you to talk about quarters beyond the current one, which is obviously not typical for the company?
Bob Kuhn: I would say more of our visibility and more of our confidence looking out further. I mean we're getting some good signals from our customers as Stephan alluded to. Stephan also talked very much about some of the research data, external data that we collaborate with and take a look at and triangulate our numbers with. And so it's more of – I would say more of a direct correlation to our confidence. And we see this improving in Q4, rather than leaving you with the Q3 quarter that is lower than what the consensus is today and people kind of wondering what's going to happen in Q4.
Stephan Tanda: The other thing I would add Adam is, a normal fourth quarter for us is lower than the third quarter, just because end of year Europe holidays all that. And since this is a year where we think this pattern will not be a normal pattern, we just wanted you guys to know that, we don't think it will be like other years, where the fourth quarter is lower than the third quarter. 
Adam Josephson: Yes. No, I appreciate that, Stephan. And on pharma, there is some thought kind of close to the end of last year that the vaccines might be quite good for your Pharma business and therefore the pandemic as a whole would be beneficial to your Pharma business. And then, obviously, the cold and flu season never happened and there's been this significant customer destocking as a result. How would you characterize the overall impact that the pandemic has had on your Pharma business? And given what's happening with the Delta variant, et cetera, what do you see the ongoing impact as? In other words, good, bad, indifferent, et cetera? 
Stephan Tanda: Look, for people to be -- it almost sounds terrible to say it. But for people to be exposed to dust and pollen, they need to be out and about and not wear a mask. And then, we can help with allergic rhinitis product, as well as more COPD although that has been less impacted. And of course, if people wear masks all the time, their likelihood of contracting the flu and the finical [ph] is much lower. That is the negative side of it. It's good for people, but it's not so good for the treatment. Now, on the vaccine, you already mentioned that. As people get vaccinated and hopefully key countries or key markets get north of that magical threshold whatever it is 75%, 85%, where everybody moves about, then, yes, we benefit both from the vaccine and from the higher incidence of allergic -- allergies and cold and cough and flu. And the effect can only be positive in that scenario. Plus, if those booster shots materialize to any extent, I think that will be continuing boost to that business, not surprisingly. Now, if everybody is back to indoors, wearing masks, then of course, we have a very different scenario, but that will also impact the beauty business, the beverage business. So, by now we've established a pattern. But if we remain positive and it certainly looks like the US government is determined to get those vaccination rates up. And I think, Europe, behind the US initially is catching up and is also pushing for high vaccination. I believe those two markets seem like it will balance out very good for Aptar. China is a mixed bag. Vaccination rates are low. So they control the pandemic through harsh lockdowns when something happens and basically, closing the country off for outbound tourists as well as inbound tourists and business travel, so -- with the effect that the -- it's more a Chinese domestic game and we are well advised to continue hurrying up to increase our footprint, to take advantage of the large domestic economy that China is. But clearly, the lack of travel and that will stay with us as long as Chinese vaccination rates don't go up, has a negative impact on our beauty business.
Adam Josephson: Appreciate it, Stephan. Thanks a lot.
Bob Kuhn: Yes Adam, maybe I just want to add a couple of things specifically on Pharma. Maybe moving away from the quantitative aspects of COVID. Qualitatively, I think it's been a net positive, really for the Pharma business. I mean, if you really talked about the focus, it got its exposure to many new customers, certainly in our injectables division that we weren't really selling to in the past. So, it put us on the map so to speak with a new customer set. It's obviously led to our bullish outlook in investing in additional capacity expansions there, and then certainly, the acquisition that we just mentioned in China. And then I would also add on the active materials solutions division, it allowed us to push our material science technology into new areas, right? I mean, we -- while we thought we had a credible -- and we do have a credible solution to N95 decontamination in the end there wasn't a need for that. But we're now starting to see our technology being used on test kits and things like that. And I think that's only going to continue, as that in-home testing category increases, not just for COVID-19, but God forbid any future pandemics and even flu in the past. So, I would say, that it's been a net qualitative positive in both pushing our innovation and technology as well as giving us access to new customers and increasing our bullish outlook on injectables in total.
Adam Josephson: Thanks a lot, Bob.
Operator: Your next question comes from Neel Kumar from Morgan Stanley.
Neel Kumar: Hi good morning.
Stephan Tanda: Hi Neel.
Neel Kumar: In Pharma, you mentioned a negative 100 bps impact from inflation and an impact of mix as well on margins. Could you just talk about, where specifically you're seeing inflation in the business and the impact mix had on margins, as well during the quarter? Do you expect 3Q Pharma margins to generally be in line with the second quarter level?
Bob Kuhn: Yes. So, I mean the biggest piece, if I look at it for Pharma is really coming on some of the specific resins that we used in our active material solutions category. And that's probably the biggest. And then there was another piece on the regular resin. A little bit also on the labor side in addition. But I would say that the bigger needle mover on the margin is going to be the mix of where the business fell in Q2, right, with both consumer health care and prescription being down and injectables and active packaging being up.
Neel Kumar: Got it. That's helpful. And my impression was that resins is actually more of an immediate pass-through in Pharma versus having a lag in Beauty and Home and Food and Beverage. Is the structure different in the active packaging business?
Bob Kuhn: It is. We have some large contracts there in the active packaging side. The -- some of the larger contracts are based on annual reassessments of total cost. So, some of those won't get fully passed on or at least be passed on until we get into 2022. So, there's a bit of a headwind there. And then, we'll have to see where it looks like for 2022. But yes, it looks a little slightly different on the contractual side in the active materials solutions side.
Neel Kumar: Okay. That's helpful. And then just besides for allergies, can you just talk about how some of the other areas in prescription performed in the quarter? Were there any other areas you would call out as coming in below expectations?
Stephan Tanda: I wouldn't say so. I mean, central nervous system continues to do very well, growing double digits, but off a small base. And the COPD area is not as affected by the destocking as the allergic rhinitis, but still lower than normal.
Neel Kumar: All right. Thank you.
Operator: Your next question comes from Daniel Rizzo from Jefferies.
Daniel Rizzo: Good morning. I'm sorry if I missed this, but CapEx is up a bit this year. Can you just remind us what's spending on there and just provide some color on that?
Bob Kuhn: Sure. So, I mean, we've got three pretty significant projects that we had mentioned at the beginning of the year that led us to our total target range of $300 million to $330 million. And so, one of those is that injectable capacity expansion that is underway and we've begun to make investments there. So we got about $35 million expected there in terms of cash outlays in 2021. We also have started our project in China on one facility for our existing operations, primarily focused around pharma. And there again, we expect that there's going to be cash spend this year about $14 million. And then, we are optimizing our footprint in France also for our decorative capabilities. And there hasn't been a lot that's come through yet. But there we expect about $22 million in cash outlays in 2021. So, all in all, you got about $71 million on 2021 CapEx that's included in that $300 million to $330 million.
Daniel Rizzo: And for 2022, I mean, will a portion of that will be the similar cost next year for the same projects or what I miss here?
Bob Kuhn: Sure. Yes, there'll be some bleed over into 2022, as these projects are getting closer to completion. We have not yet given 2022 guidance on cash capital expenditure.
Daniel Rizzo: Right, right. No, just in general terms.
Bob Kuhn: Yes.
Daniel Rizzo: Okay. Thank you very much.
Operator: Your next question comes from Gabe Hajde from Wells Fargo.
Gabe Hajde: Good morning, gentlemen. I hopped also kind of late in the call. Just two quick ones for you. One, obviously, inflation I think came a little bit hotter and quicker than what people were thinking coming into this year. Have you guys taken this opportunity? It sounds like most of it is centered on resins, but perhaps to kind of maybe revisit some contracts as they do come up to shorten that lag, or is that something that you don't view as necessary? And, I guess, talk about briefly just other input costs to provide more openers?
Stephan Tanda: Yes. So, really, the answer is yes on both. You noticed that the pass-through in food and beverage is now much faster than it's been historically, because we've changed some of these contracts in the past. On the way up, it's a little harder to do, but we're already benefiting from having changed those contracts. On the other questions we are absolutely putting through general inflationary increase that are not related to raw materials. And all three businesses are looking at implementing those have gone out with them. You've even seen us publicly announce increases in June that were not raw material related, but general inflationary increase. In Pharma, it's more of a, as you do renewals of long-term contracts, where you bake that in, we're not -- there's no - other than in the active material solutions business, there are no automatic pass-through clauses for the most part. But on the other hand, there's more pricing power that reprice as contracts get renewed. And often they have price maintenance built in. So, clearly, there are more tools in the toolkit than just the raw material pass-through and we're using all of those tools.
Gabe Hajde: Thank you, Stephan. And then, I mean, obviously, you guys kind of had three transactions to announce to us. We've heard some chatter that private equity has backed out a little bit from the M&A market. Just curious if there's anything still in the pipeline? I mean, I appreciate you guys are probably always active to some degree. But anything that you feel like you're getting close on? I guess, a kind of update there? 
Stephan Tanda: Yes. Look, our M&A activity is active, as active as it’s always been. You work on a dozen deals and you do one. In the end, you lose some and you win some. And there is no change to that. And our leverage is at 1.5, so we certainly have the firepower. And we continue to look at M&A to complement our organic growth and geographic growth, as well as our innovation activities. So there's no change to that and it remains an active environment. But it's not done until it's done and the press release goes out. So I can't really speculate beyond that.
Gabe Hajde: Understood. Thank you
Operator: Your final question comes from Salvator Tiano from Seaport Global Securities. 
Salvator Tiano: Yes. Hi. Thanks for taking the questions. The first one, especially since now you've provided some color on Q4, I want to understand by each of the business, if you can provide us a little bit color on the lead times you have. And on the order book, when you -- when do customers provide you with their initial indications? And when do they have to firm their orders for the quarter, for example?
Stephan Tanda: Yeah. I don't want to really go in that detail, except we did tell you. And I'm happy to reiterate that, our lead times in Beauty + Home are higher than we want them to be. Last year we were even written up in the Wall Street Journal that we can't get enough hand sanitizer pumps out there. And pumps are still a little bit backed up. And as we see a rebound and have some of these supply chain disruptions or dislocations that I mentioned, lead times are higher than we would like them to be in the Beauty + Home area. I think, I would leave it at that.
Salvator Tiano: Okay. And with regard to the other segments especially on Pharma, I guess, what I'm trying to understand is, while you're talking about the visibility and clarity you have in Q4, I'm trying to understand, how strong confidence you have here?
Stephan Tanda: Yeah. So we are not supply constrained to any extent in the prescription drug business or the consumer health care business, as you can imagine from the volume levels. Certainly, supply chain is getting a little tight, in the injectable space, but we have the capacity to service the demand. But the only area where this is really a topic, is in Beauty.
Salvator Tiano: Yeah. Okay. And just switching gears a little bit, sustainability, you published I think your report was in May. I want to understand a little bit, what actions have you taken? And what line of sight do you have for procurement to get I think to get your PCR consumption to around 10%, I think is your 2025 target. And I think your recyclability of products went up from 35% last year to 64% this year pretty big move. What have you done to increase the recyclability of your products that much?
Stephan Tanda: Yeah. A lot has to do with making products more mono-material like we talked about it with the Future pump also changing the makeup of our special SimpliSqueeze valve to be recyclable. Those are just two examples. In terms of the longer-term picture of course, one aspect is of what we offer. The other aspect is what clients actually buy. So this is probably our one commitment that is highly contingent of our clients actually buying solutions that have higher PCR content and/or are fully recyclable. I mean, we've had certain PCR offerings available a long-time, but clients didn't buy as much as we thought. But certainly, we expect that to continue to rise. And you're quite right, that availability of the right grade of PCR is a topic. I mean that's why we invested in PureCycle to help them accelerate food grade-approved polypropylene production. And to be honest, we've co-invested with some of our customers there. So that is an important stream. The other one that we look to very closely is the acceleration of availability, acceptability of chemical recycling, so taking plastic -- mixed-use plastic stream back to the monomers and then re-polymerizing. So there's a lot of activity here going on, that ultimately will allow our customers hopefully to fulfill the commitments they've made publicly but in the end they need to also make their orders in line with their public commitments.
Salvator Tiano: Great. Thank you very much.
Stephan Tanda: Thank you. I think this concludes our call. Thanks for your interest. And look forward to meeting you on the road virtually.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation. You may now all disconnect.